Operator: Hello, everyone, and welcome to the Vince Holding Corp Third Quarter Fiscal 2023 Earnings Conference Call. My name is Bruno, and I'll be your operator for today. I would now like to hand over the call to Caitlin Churchill from Investor Relations. Please go ahead.
Caitlin Churchill: Thank you, and good morning, everyone. Welcome to Vince Holding Corp.'s Third Quarter Fiscal 2023 Results Conference Call. Hosting the call today are Jack Schwefel, Chief Executive Officer; and Michael Hand, Interim Chief Financial Officer. Before we begin, let me remind you that certain statements made on this call may constitute forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ from those the company expects. Those risks and uncertainties are described in today's press release and in the company's SEC filings, which are available on the company's website. Investors should not assume that statements made during the call will remain operative at a later time, and the company undertakes no obligation to update any information discussed on the call. In addition, in today's discussion, the company is presenting its financial results in conformity with GAAP and on an adjusted basis. The adjusted results that the company presents today are non-GAAP measures. Discussions of these non-GAAP measures and the information on reconciliations of them to their most comparable GAAP measures are included in today's press release and related schedules, which are available in the Investors section of the company's website at investors.vince.com. Following today's remarks, there will be no question-and-answer session. Now I'll turn the call over to Jack. Jack?
Jack Schwefel: Thank you, Caitlin, and thank you, everyone, for joining us this morning. I continue to be very proud of our teams and the progress we are making against our strategies and objectives to position Vince for long-term success. Year-to-date, we delivered improved profitability over the prior year period despite incurring incremental costs we did not experience in the prior year, given our operating changes with the partnership with authentic, and we have continued to drive momentum across the organization. Our third quarter performance exceeded our previously reported preliminary results, and we are pleased to see the sequential improvement across both of our channels compared to the second quarter. While weather did impact customer buying behavior, which has trended more to buy now wear now mentality, especially with our men's business. We are pleased overall with the reception to both our pre-fall and fall assortment which was highlighted in our Vince Heroes and Gray Matters marketing campaigns. With respect to profitability for the Vince brand, we reported operating profit flat to last year despite lower sales given the current macroeconomic environment and the strategic decision to pull back on the off-price wholesale business. From a margin perspective, we delivered 120 basis points of operating margin expansion for the quarter supported by lower freight expense and lower promotional activity and despite incurring approximately $4 million of royalty expenses that we did not incur in fiscal '22. As we previously announced, we have plans in place through our transformation program to deliver over $30 million in cost savings over the next 3 years which will help to offset the changes in our cost structure given the royalty fees we now incur with our partnership with Authentic Brands Group. I will discuss more on our transformation program in a moment.  But first, let me review the latest progress we have made against our growth initiatives. As we discussed last quarter, we are beginning to realize the benefits from the investments we have made in our enhanced e-commerce capabilities in CDP platform. While stores have continued to relatively outperform e-commerce from a top line perspective, we are seeing stronger AOV growth on our sites supported by a more effective digital marketing and enhanced focus on in-season engagement. In October, we launched our online gifting pages to help guide customers in the gifting journeys and showcase elevated dressing for the holidays. The gifting pages on vince.com have delivered an increase of average order value of 50% compared to the site average, and conversion from these pages is double the site average. In addition to our enhancements on our site and focus on gifting, we also leveraged our CDP platform to drive more targeted and enhanced digital and social engagement. We are continuing to work with influencers such as Arielle Charnas to drive traffic and demand to our DTC channels. And through the data we now have, we have greater visibility into the effectiveness of our efforts. With more information about our customers, we are in a better position to more effectively drive engagement and therefore, performance especially with our most loyal customers. We are currently assessing opportunities to expand our usage of the CDP platform to increase loyalty and the lifetime value of our customers. It is exciting to see the progress we have made to date, and I believe we have a long runway ahead of us to continue to build on this momentum. Turning next to our focus on international expansion. We recently celebrated the grand opening of our Nanjing location in Deji Plaza. This is our first freestanding store in China and is the second highest volume shopping center in Mainland China. The Deji Plaza is a highly luxurious shopping center attracting high net worth individuals across a wide variety of ages. We are excited for the latest new opening as we continue to expand our presence in the region following our Shanghai opening last year and our distribution with Lane Crawford and NETA-PORTER China site, Fengmal [ph]. We also remain on track to open our Beijing location in spring '24 and look forward to sharing more on our expansion on future calls. With respect to our men's business, as I mentioned, we have seen our men's customers gravitate towards a more buy now, wear now behavior and, therefore, a bit more susceptible to weather impacts in the quarter. That said, we continue to be pleased with our men's business and saw a particular strength in our pre-fall assortment highlighted by our linen, knit and woven products. As we look ahead, we will continue to capitalize on the opportunity we see in growing our men's business as a percentage of our total assortment and total sales performance. Now let me provide more detail around our transformation program. Following the initial work for Mackenzie, we have created a transformation office led by Heather Wildberger, our Chief Transportation and Information Officer. Under Heather's leadership, we expect to deliver savings through streamlining our manufacturing and production operations, reducing our promotional activity while optimizing the breadth and depth of markdowns as well as enhancing efficiencies within store operations, corporate overhead and third-party spend. The majority of savings will come through expanding gross profit dollars as we reduce our cost of goods sold through implementing more transparent costing with our vendors using advanced analytics and examining our manufacturing footprint. We will also drive more data-driven pricing and assortment decisions and gradually expand AUR through surgical price increases and optimizing our SKU count while increasing the penetration of our higher-priced assortment. We will also improve in-season promotional and markdown pricing management across the DTC channels to move more effective margin-accretive authors. With respect to SG&A savings, we plan to operate our store locations more efficiently and are taking a close look at all of our leases for opportunities to renegotiate terms. Approximately 1/3 of leases are coming due in fiscal '24. And while longer term, we continue to see opportunities to selectively grow our U.S. store base, we expect short-term impact from our upcoming negotiations to result in our store count remaining relatively flat over the next 2 years. Before I close, I want to thank all of our teams for their ongoing hard work and dedication. I especially want to thank Michael for his support over the last 5 months in leading our finance organization as we search for a permanent CFO. We look forward to welcoming John Szczepanski who will join us after the holidays and comes to us with over 20 years of experience in various corporate finance and supply chain leadership roles, primarily with Ralph Lauren. I am grateful that Michael will also be with us to ensure a smooth transition for John and the team. As we enter the fourth quarter, we are pleased with the progress we are making across our organization and excited for the momentum we are driving. We have seen a solid start to the quarter and look forward to delivering the experience and assortment our customers are looking for this holiday season as highlighted in our recent heirloom campaign. Looking ahead, we remain focused on continuing to position Vince for long-term profitable growth while delivering value for all our stakeholders. I will now turn it over to Michael to review our financial results in more detail. Michael?
Michael Hand: Thank you, Jack, and good morning, everyone. I look forward to working with the team to ensure a smooth transition and lending my support as needed going forward. As Jack discussed, we are pleased to have delivered third quarter results that reflect a sequential improvement from the second quarter from both the top and bottom line perspective, despite the ongoing macro environment and increased royalty expenses that we did not incur last year. Turning now to our results in more detail. Total company net sales for the third quarter decreased 14.7% to $84.1 million compared to $98.6 million in the third quarter of fiscal 2022. The year-over-year decline was driven by a 100% decrease in Rebecca Taylor and Parker combined net sales due to the previously announced wind down of the Rebecca Taylor business, which is complete. The Rebecca Taylor and Parker combined net sales totaled $8.9 million in the third quarter of fiscal 2022. Vince brand sales declined 6.2% compared to the prior year period. The Vince brand net sales decrease was driven by year-over-year declines in both our wholesale and direct-to-consumer segments, but reflects a sequential improvement from the second quarter. Our top line performance was impacted by macro-related headwinds and the strategic decision to pull back on our off-price business within our wholesale channel. In direct-to-consumer, we continued to see outperformance in our stores compared to e-commerce but as Jack discussed, we are seeing nice improvement in AOV and engagement on our site. Gross profit in the third quarter was $37.2 million or 44.2% of net sales. This compares to $29.8 million or 30.2% of net sales in the third quarter of last year. The increase in gross margin rate was driven by approximately 790 basis points related to the wind down of the Rebecca Taylor business, which historically operated at a lower overall gross margin. Favorable year-over-year adjustments to inventory reserves, lower freight costs and lower promotional activity. These factors were partially offset by approximately 480 basis points of royalty expenses associated with the licensing agreement with Authentic Brands Group. Selling, general and administrative expenses in the quarter were $34.4 million or 40.9% of net sales as compared to $39.2 million or 39.8% of net sales for the third quarter of last year. The decrease in SG&A dollars was primarily driven by the wind down of the Rebecca Taylor business, resulting in $8.7 million net expense favorability in the third quarter of fiscal 2023 as well as lower expenses related to product development. These lower costs were partially offset by an increase in rent and occupancy costs primarily attributable to lease modifications effective in the third quarter of fiscal 2022 as well as increased compensation and benefits mainly due to lower bonus compensation in the third quarter of fiscal 2022 as well as $0.2 million in transaction and expenses related to the authentic transaction. Operating income for the third quarter was $2.8 million compared to an operating loss of $9.4 million in the same period last year. Adjusted operating income, which excludes the transaction expenses was $3.1 million for the third quarter of fiscal 2023. Net interest expense decreased to $2 million compared to $2.5 million in the prior year. The decrease was driven by the year-over-year reduction in debt given the previously announced refinancing actions we took earlier this year. Income tax provision for the third quarter was $0.5 million primarily driven by discrete tax expense associated with the authentic transaction. The tax expense in the third quarter of fiscal 2023 compares to an income tax benefit of $6.6 million in the same period last year. For the full year, we expect to report an income tax benefit of approximately $5.3 million. Net income for the third quarter was $1 million or $0.08 per diluted share compared to a net loss of $5.2 million or a $0.43 loss per share in the third quarter last year. Adjusted net income for the third quarter of fiscal 2023, excluding the transaction expenses was $1.8 million or $0.15 per diluted share. With respect to our year-to-date performance, we delivered total company net sales of $217.6 million for the 9 months ended October 28, 2023 compared to $266.1 million in the prior year period, which included $27.3 million of Rebecca Taylor and Parker combined net sales. In addition, for the 9 months ended October 28, 2023, we delivered income from operations of $33.3 million compared to loss from operations of $19.9 million in the prior year. The fiscal 2023 period includes the $32 million benefit from the Vince IP sale gain $6.3 million in royalty expenses and $5.2 million in transaction expenses that were not incurred in the prior year period. Moving to the balance sheet. Net inventory was $69.6 million at the end of the third quarter as compared to $116.4 million at the end of the third quarter last year. The year-over-year decrease in inventory was driven by the wind down of the Rebecca Taylor business as well as the normalization of inventory within Vince as we sold through higher levels of inventory from the prior year and rebalanced our inventory purchases for the current season. We continue to expect inventory levels to remain below the prior year reflecting the comparisons to last year as well as the actions we have taken to move through units and our more conservative buys for our current season inventory. Turning our expectations for the balance of fiscal year 2023. While we are not providing formal earnings guidance at this time, as Jack noted, we have entered the fourth quarter with solid momentum, and expect to deliver another quarter of sequential top line improvement compared to Q3 driven by the 53rd week as well as ongoing execution across our channels.  In addition, we expect to continue to drive year-over-year margin expansion supported by freight tailwinds as well as our disciplined approach to inventory and expense management.  This concludes our remarks. Thank you for joining us this morning
Operator: